Operator: Good afternoon. And today's conference call will consist of SKT's CFO Mr. Ha Sung Min presentation on the 2007 Third Quarter Earnings highlights and other matters of your interest followed by a Q&A session. Today's conference call will last about one and half hour with consecutive interpretation. Then we also remind you that all the forward-looking statements are subject to change, depending on the macroeconomic and market situations. May we now introduce our CFO, Mr. Ha Sung Min.
Sung Min Ha - Senior Vice President and Chief Financial Officer: Good afternoon, my name is Ha Sung Minutes; I am the CFO of SK Telecom. Thank you for taking part in today's earnings conference call for third quarter 2007, despite your busy schedule. Let me begin with the earnings highlights for Q3. The revenue for the third quarter has increased 3.8% year-over-year to KRW 2,815.6 billion, supported by the continuous growth of new subscribers. The less number of business state [ph] and other seasonal factors led to a 1% on a Q-o-Q basis. The wireless internet revenue grew 4.5% compared to the same period previous year to KRW 700.4 billion, led by the robust growth from the phone mail service. On a Q-o-Q basis, the wireless internet revenue edged down 0.6% due to the aforementioned seasonal factors. The share of the wireless internet in the total revenue excluding interconnection fees was 27.5%. The marketing expense for Q3 was KRW 710.7 billion, which was a 1.1% increase quarter-on-quarter and a 38.6% increase year-on-year. The marketing expense to revenue ratio was 25.2%. The third quarter saw a rising demand for handset upgrades compared to the previous quarter including the WCDMA, which led to a slight edging up of the marketing expense. Compared to the stable market environment in Q3 '06 the expanding new subscriber market as well as the relative increase in initial conditions brought up the marketing expense. The operating income came down 19% quarter-on-quarter and 29.2% year-over-year to KRW536.6 billion, mainly caused by the growing depreciation from faster implementation of WCDMA CapEx and the rising marketing expense. The increase in other cash related operating expense from seasonal factors led to the quarter-to-quarter decrease. On the other hand, the growth of non-operating income such as gains from China Unicom CB conversion boosted the net income by 92.6% Q-on-Q and 17.1% y-on-y to KRW777 billion. The EBITDA came down 8.3% quarter-on-quarter and 13.9 % year-on-year KRW1,11.5 billion. That was the earnings highlights for the quarter. Now let me move on to other issues of your interest. Let me first share with you the future market strategy as well as the WCDMA strategy. Despite the high market penetration rate and the aggressive WCDMA marketing activities of our competitors, SK Telecom is maintaining the already communicated market share target of 50.5% and the market leadership through its strategic market approach. We have communicated this point on other occasions as well that intensifying competition in the WCDMA market, SKT will control the migration fee considering the customer response rather than artificially driving the migration. Ultimately, SKT will seek to strike the right balance between market leadership and profitability. In order to create the critical math in the WCDMA market going forward, the following three prerequisites need to be met, to secure the competitiveness in the market. First, the high call quality at par with CDMA. Second, the convenient and innovative services, driven by subscriber demand; third; more various and portable handset lineup. We believe adequate time and investment are necessary to meet those requirements. Especially, securing the enhanced service quality through WCDMA network quality improvement is the most essential and critical factor determining the market leadership in the next generation mobile telephony market. After prudent consideration of these factors, we have decided to increase our total CapEx guidance for the year from existing KRW 1,560 billion to KRW 1,750 billion to enhance the WCDMA quality and to add more capacity. Together with the strengthening of the network infrastructure, we will continue to expand the active subscriber base by introducing more customer-oriented fixed price line and by linking the services with free contact. We will not only further diversify the lifestyle enhancing services such as MMS, UTC, comment [ph] and advertisement but also expand the differentiated product choices such as wired wireless search and mobile search [ph] by strengthening the links with wired internet services. We expect growth in the wireless internet as well as an upper hand in the competitiveness in WCDMA through such strategic content development and expanded distribution. I would like to touch upon tax cuts such as the on-net discount which was recently introduced. I read this only through the media, SK Telecomm has launched an on-net discount type product which provide discount on voice and video airtime charges among SKT subscribers. Starting from January 1st, 2008 the SMS tariff will also be reduced. We will do our outmost to generate more positive impact such as increased usage, higher retention of quality subscribers and reduced churn by implementing these measures. Let me now move on to the global businesses. In the case of Helio, we have already announced the additional investment in September to expedite the realization of economies of scale through more aggressive marketing activity. We are seeing an accelerated upward trend in subscriber numbers since the introduction of the new handset Ocean. In addition to the strengthening of the strategic handset line up, we will also innovate the overall marketing activities through enhanced service competitiveness, distribution, prices and promotion. Through such efforts we will steadily improve the performance by highlighting the unique competitive edge of Helio from other MVNO entities. In China, we have become the second largest shareholder of China Unicom through the CB conversion, which helped us secure a more advantageous position for participation in the potentially rich Chinese market. SK Telecom will concentrate on diverse business development and profit creation leveraging the 150 million subscriber base of China Unicom. Through these efforts, we will solidify our future business fundamentals in China. Vietnam is rapidly emerging as a market with strong upside potential supported by the positive economic growth prospects upon joining the WTO. S-Telecom is already building a nationwide network coverage centering around the major metropolitan areas. Also, aggressive marketing activities are being pursued on price plan to distribution and handset, thanks to such enhanced competitiveness S-Telecom's subscriber numbers as of the end of September exceeded 3 million on the way to 3.5 million subscriber guidance of this year. Next, I would like to address the shareholder return. In the beginning of this fiscal year, SKT has announced this time to issue 8001 per share cash dividend as well as the treasury share buyback of KRW 200 billion. The specific timing and method of treasury share buyback will be determined at the BOD in the near future upon considering various factors such as the stock price trend and the phone ownership limits. We will do our utmost to complete the overall process within this year. SK Telecom is doing its best to maintain financial stability, while creating virtual cycle of enterprise value and shareholder value. We ask for your continued interest and support in reaping the fruits of these efforts. We will now begin the Q&A session, please go ahead with questions. Question And Answer
Operator: Ladies and gentlemen, now we would like to open up the floor for questions and answers. [Operator Instructions]. In order to offer opportunities to as many participants as possible we would appreciate it greatly if you could limit the number of your questions two per person. Thank you. The first question will be provided by Mr. Jeff Kang from CS Securities. Would you like to go ahead with your questions sir?
Jeff Kang - Credit Suisse First Boston: [Foreign Language]. I have the following two questions. First question is about the next year's prospects regarding the competitive environment in the market. Recently, you have introduced the on-net discount program or the same carrier discount program and I believe that the market is showing quite a bit of interest in that change. So far the competition within the market has been mainly focusing on the handset side, basically surrounding the subsidy issue. However, going forward beyond next year, would there be a new focus on the price competitiveness instead of the subsidy focus. So could you share with us your view on that? And the second question has to do with the two one-off factors for this quarter. This quarter you have shown certain gains from the conversion of the China Unicom CBs as well as the SKT and T related equity gains type related one-off gain. So that has boosted the net income of this quarter quite a bit. So would these recent one-off factors have a possible impact on the dividend policy and shareholder return policy going forward?
Unidentified Company Representative: [Foreign Language]. Your first question has to do with the next year's competitive environment in the markets. As you are well aware until the first half of this year, the market has been going through quite a fierce market competition basing on the acquisition of new subscribers and MAP subscribers, and I believe that such fierce competition has given way to certain learnt lessons effect for most of the players in the market. So ultimately we are seeing the introduction of new price-related discount plans, such on-net discounting provided within the market. As you have mentioned, going beyond the next year, we anticipate the market to stabilize much more and move away from the exhaustive handset subsidy-related the competition of the past. However, we should keep in mind that there are other uncertainties looming in the next year time horizon, regarding the elimination of the subsidy ban altogether as well as the using lock issue. Therefore, we have to still wait and see how the market develops going forward, but I anticipate that compared to this year the market will stabilize to a model, where the focus would be more on the subscriber retention. And your second question has to do with the dividend policy; if I may reinstate my statement from the earlier conference call as well, this year our planned shareholder return consist of 8001 per share cash dividend as well as the treasure share buyback in calculation of KRW 200 billion. as you have mentioned we have had a certain one-off gains, such as CUCB conversion factor as well as the equity gain from SPC and C share as a tax free under the non-operating income line items, and I believe that that has boosted the health of financial statements of the company. But as you are well aware these are non-cash transactions, therefore we do not have any immediate plans to go ahead with any further cash dividend because of these one-off factors. And also regarding future issues to return policy changes is not up to the company's management, but rather up to with the company's BoD. But I could tell you that for now, we have new such new changes.
Operator: Next Chao-zon Yang from Humboldt Investment and Securities [ph]. Would you like to go ahead with your question, sir?
Unidentified Analyst: I have the following two questions; the first question has to do with CapEx. As you have stated just now in you opening remarks, you have decided to increase the annual guidance for CapEx for this year. Generally, each year we have had between KRW1.5 trillion to KRW1.6 trillion in terms of CapEx, but it has gone up slightly beyond that. So I am wondering whether this year's increase is actually taking on next year CapEx a little earlier, or can you give us any idea about maybe guidance for next year's CapEx? And my second question had to do with page three. Individually I could identify a slight increase of other expense item under operating income category and I am wondering whether this is due to any particular structural issues, and whether this increase is something that we should place more meaning onto
Unidentified Company Representative: Let me first address your first question which has to do CapEx. As you have stated, we are actually bringing in the CapEx for next year earlier this year because of the various factors. As you know, we are anticipating beyond 1.5 million subscriber numbers for WCDMA this year and therefore we have decided to expediting the expenditure implementation for CapEx from next year into this year. And regarding CapEx guidance beyond 2008, as you are well aware, it's quite difficult to communicate the actual numbers quite accurately at this point. It would be very much up to the WCDMA migration speed as well as the market environment. So these factors will have quite a bit of influence on the CapEx trend going forward. As you have stated it is true that we have seen a slight rise from the other operating expense category, and most of that comes from the R&D expense category. As we have communicated with you in the beginning of the year, we will continue to invest in the innovations and R&D activities and that is a part of our activities. And we've had some seasonal factors as well in terms of the water usage and the lighting and heating-related expenses has gone up slightly as well, but as you know, SKT will do it utmost to maximize cost efficiency going forward as well. And on the network side I believe that the nationwide network rollout for WCDMA is having some impact on the expense outlay that again under remaining network could have been processed. We will go through further efforts to minimize the cost and increase the efficiency.
Operator: Mr. Mitchell Kim from Morgan Stanly would you like to go ahead with your question sir.
Mitchell Kim - Morgan Stanley: Yes thank you I have two questions. First question is I just want to try to get a sense of what you are thinking CFO... if you look at marketing costs it's up as a result of retention cost increasing, while ARPU is down, especially data APRU declining. Are you seeing... do you see any encouraging sign that your marketing strategy is working or what are the positive factors that we should be looking for, or should we just consider this as just cost of defense perhaps this as good as it gets. Any color or prospective on this will very helpful. My second question is that in your second quarter commend you did say that you expect margins in second half of the year to come down, or come under pressure, because of increasing spending not just marketing but in other areas including gains and Ecommerce and portals and ads. Can you share with us what is your Internet strategy at this point and what are the concrete synergy values that we could extract from your implementing these strategies, in other words what can we expect, more concrete results that we could expect over the next 12 to 24 months as a result of your more integrated internet strategy.
Unidentified Company Representative: [Foreign Language]. Let me address your first question regarding the marketing expense, as you have stated, yes, we have seen an increase on the marketing expense side and you have expressed concerns about the fourth quarter as well. Basically speaking, I believe that the largest cause for such increase comes from the fact that the market has grown and therefore leading to an increase of subscriber net addition. And secondly, regarding ARPU, yes, for the data ARPU side, we have seen a MMS call price reduction taking place and that is somewhat taken an effect. However, regardless we at SKT will continue to do our best to maximize data ARPU going forward. [Foreign Language] Regarding your question of our internet strategy, I believe that my answer also includes the e-commerce related perspective as well. Our ultimate target is to establish the internet conversion hub and also to finalize then concerned the internet conversions business. And I believe that to do that, we have the three service scenes that we need address. First of all, number one is SMS; number 2 is search; number 3, integration between wired and wireless. So ultimately SKT has to create the growth platform by providing the best possible services for our subscribers and in doing so, these three types of services are quite critical. And to that end, together with SKCom which will be soon a part of the integrated company structure in the new future, together with SKCom we will try to create the synergy effect early on so that we could gain market leadership in this area.
Mitchell Kim - Morgan Stanley: Thank you. [Foreign Language]
Operator: Next Mr. John Kim from Merrill Lynch; would you like to go ahead with your question sir?
John Kim - Merrill Lynch: Yes, thank you for the opportunity. I have two questions. First pertains to SKT's overseas investment. If we remember correctly, the management has stated on a few occasions throughout the year that SK Telecom will try to prove it's capable of being successful broadly for it makes any further investments. However, your Vice Chairman keeps getting quoted in the press that SKT is looking at various overseas investment opportunities. So could the management reiterate its view in terms of further oversees investments, especially considering there has been some additional investments announced for U.S. Helio. My second question pertains to your 50.5% market share policy. I understand that this policy has been in place for about a year, but if we look over the past year, as KT's earnings have decreased partially as a result of this. And meanwhile the market has not been rewarding SKT with higher valuation for protecting 50% market share. So does the management intent to keep this policy intact for the foreseeable future? Thank you. [Foreign Language]
Unidentified Company Representative: [Foreign Language]. Let me answer to your first question regarding the global businesses. I've eventually seen the media reports myself and I believe that there has been some misunderstanding. As I have communicated with you on numerous occasions, SKT will do its very best to focus on the businesses that we currently have, which are Vietnamese and the Chinese and the U.S. operation and we will do our best to enhance the performance of these existing global businesses. And of course, not only from Pakistan, but from other areas, we get various proposals of such a kind, but for now we have -- we are not considering any such business options. And if we decide to invest any further in any other global business centers, obviously we will communicate this fact as soon as possible with investors community immediately. [Foreign Language] Regarding FX question which has to do with our market share policy, I believe that other parties may look at the same policy in a different light but as we have communicated with you, we try to maintain the 50.5% stock incurred market share tightened during the next medium to long-term times arising. Going through the market between the year 2004 and 2006, SKT has gained quite a bit of lessons from the market. As you have seen, we had no choice but to be embroiled in this vicious cycle of marketing expenses increasing, if we are to the focus on the market share gain when other rates callers try to expand their marketing activities. So as a market leader, SKT feels quite strongly that we need to send the right message to the markets that such a high expense structure of marketing activities will not help in the ultimate maintaining of the subscriber market share goal of any company. So that's why we feel that is quite necessary to maintain this 50.5% target.
John Kim - Merrill Lynch: Just to ask a quick follow-up question, if SKT were to consider further overseas investments then, could the management please share once again your minimum threshold for success overseas?
Unidentified Company Representative: I believe that your question is really boiling down to the investment side. As the CEO has mentioned on other occasions as well SKT's ultimate goal and the highest goal in any situation is to maintain the financial stability. So within that range of maintaining that stability we will have to exercise our decision as quite flexibly. So it is quite difficult for me to show you an exact size at this point, but rather I believe we should decide on the size as such possible business costs develop at each stage of the way. But, as I told you before we will not overburden the company's financial stability by going ahead with too much of an aggressive investment, and we will continue to get the economic aspects as well as our existing criteria for overseas investments, which we have been implementing within SKT, if we decide to invest.
Operator: Next Mr. Handgen Ken from Goldman Sachs [ph], would you like to go ahead with your question sir,
Unidentified Analyst: Yes, thank you. A follow-up question on the previous questions; One, you just mentioned that you would not want to overbear your financials, but it seem more that your balance sheet is under levered at the current juncture with one trillion in cash as well. Now on that note, what do you think is the probability of the company will announce some sort of sizeable investment to the near term, and if it's low what are your thoughts on again better optimizing your balance sheet and redeploying that one trillion in cash that you have. The second question is follow-up on your other SG&A costs. I was under the impression that the rise actually came from running your dual networks as cost-related to running some of your venture Internet operations. Please correct me if I am wrong, but if I am not then would the rise in these other costs be more recurring than the... rather than a one-off that you sort of insinuated in your comments. Thank you.
Unidentified Company Representative: You have stated that SKT is retaining too much cash and really that should be true that our DE ratio is rather low and it can be quite interrelated to the dividend issue as well. But on the dividend side we have already communicated numerous times that we're trying to maintain the credit level in the foreseeable future, and I believe that the real fundamental force stock price increase should come from growth rather than the dividend policy or loans. And it is true that we are holding on to quiet a bit of cash for now and it does not mean that we are trying to pursue an immediate sizable investment in the near time horizon either, but SKT will in any shape or form leverage or use this current retained cash in the right place and right products going forward. Let me now address your question regarding the dual network-related expenses. I believe that the actual network-related expense in its absolute size is not going up significantly. The reason is being that because we are using our own network nationwide, we are actually saving on the lease -related expenses. And of course on the WCDMA side, by launching the services we could consider possible increase of the expense for the WCDMA. But because we are sharing quite a bit of base stations with the existing CDMA networks, the actual increase of cost is not that significant. Of course in the very beginning of such dual network structure we could be experiencing some cost increase, but it's not to level that requires any concern from the investor side. And also regarding to the internet-related cost, it is quite related to the revenue side increase as well. So it is interlinked, but I don't think that it could be Doug, recurring increasing trend.
Unidentified Analyst: Thank you. One other please follow-up question. On the first question is ROIC or ROE used in reviewing management's performance? [Foreign Language]
Unidentified Company Representative: [Foreign Language]. Including ROIC and ROE of course we are comprehensively reviewing such indicators in assisting the performance of the management, because ultimately generating more earnings and EBITDA are critical in terms of assessing the performance of the top management.
Unidentified Analyst: Thank you.
Operator: [Foreign Language].The following question will be presented by Mr. Stan Yang [ph] from Lehman Brothers. Would you like to go ahead with your question sir?
Unidentified Analyst: [Foreign Language]. I have the following two questions. First has to do with your EBITDA. In the earlier fiscal year, you have given the annual guidance of KRW 4 trillion and as of Q3, the accumulated EBITDA stand at KRW 3.162 trillion, so that means that just by sticking with the current guidance, we are looking at about KRW 84 billion for Q4, which will be quite a bit of reduction and we are seeing a margin reduction trend quite a bit. And so should we assume that such a downward trend will continue into the fourth quarter? And in terms of guidance, the comment you have made in other conference calls, you have stated that marketing cost increase and the dual network expense as well as e-commerce expenses will be some of the additional expense items that you could anticipate. Of those, I'm wondering whether during Q4, e-commerce related expenses will be taking place in a concentrated form, so in other words, can you revisit the EBITDA margin guidance for the whole year '07. And also you talked about 2008 CapEx related comments and you said that you cannot talk about that exact number at this point, but you also mentioned that this year you are increasing the CapEx guidance because you are expecting the next year's planned CapEx budget early on this year. So that means that some of the portion that you are anticipating for '08 is being put forward into '07, so could that mean that you are looking at a lower CapEx number for '08 compared your internal target for next year. And also you mentioned in other occasions that compared to '07, we could anticipate a downward trend in CapEx in '08. So can we expect a meaningful downward revision of CapEx for 2008?
Unidentified Company Representative: [Foreign Language]. As you have mentioned, our annual guidance for CapEx was about... EBITDA that is, was KRW 4 trillion and as you have mentioned up to Q3 we have seen quite a bit of EBITDA growth already and against the annual target of... annual guidance during Q4 the EBITDA assumingly would be coming down according to our existing guidance and we are aware of that factor. However, it is quite difficult for us to predict the Q4 marketing environment therefore, for now we want to maintain our annual guidance of KRW 4 trillion. And you talked about e-commerce. That I believe that in the beginning of the year, we said that including innovation related measures, we will invest into long-term to mid term growth related investments. Of which, e-commerce will be one category and so some of the e-commerce related expenditures will take place during Q4, but it would not be as cumbersome or as burdensome as you might be concerned. [Foreign Language] On the CapEx side, yes, it is true that we have mentioned that beyond 2008, at least we will maintain the current level of 2007 or we will be anticipating a downward trend and that's what I have communicated earlier. However, if we get the over WCDMA related CapEx, the absolute total WCDMA CapEx amount will not be changed. It is just a matter of in which year we will expend such CapEx related expenditure and as you know it is completely up to the growth trend of the subscribers for the WCDMA. So if the growth rate is higher than anticipated then some of the our later planned CapEx might be expended earlier on, therefore possibly, increasing '08 CapEx as well. However, as we have stated earlier, we are looking at the migration strategy to simply follow the market response. Therefore, we are not anticipating an exceeding or over burdensome increase of the CapEx during 2008.
Operator: [Foreign Language]. Next question is going to come from Tang Win Bay [ph] from UBS. Would you like to go ahead with your questions sir?
Unidentified Analyst: Yes, thank you very much with the call. Considering the foreign ownership limit is currently full and it seems difficult to cancel shares, are you considering any other options to return the KRW 200 billion to shareholders? Second question, I guess someone should ask, I remember in the last few conference call you stated that you have no interest in another telecom stake. Could you please update us on what your thinking is right now?
Unidentified Company Representative: [Foreign Language]. On the foreign ownership limit, yes we have already reached the 49% level. So we are aware of the fact that we will not be able to cancel such shares just like last year. And however, we will complete the buyback of treasury shares within this year at France and regarding what to do with repurchased treasury shares and the timing of such action, the BoD will continuously consult on this issue and get back to you. In another telecom let me just say that we are not interested.
Operator: Next we will like to hear from Mr. Sam May [ph] from BNP Paribas. Go ahead with your question sir.
Unidentified Analyst: Thank you. Just quickly, one of the three focus areas you mentioned for your Internet strategy was mobile search and I was wondering if management can sort of give us more color those two. What you see in terms of how big this market could be in the future and its any type of monetization kind arise from this when that would be... particularly would be advertisement --. That's it. Thank you
Unidentified Company Representative: It is difficult for me to give you a color on the overall market sites in this particular are for now, but when you talk about monetization I believe that you are may be referring to mobile advertising market and for to now at this particular juncture, the market's size is being at about KRW20 billion to KRW30 billion. However, if you look at other global market's cases and other best practices there is a very higher potential in this particular mobile search market. They're looking at about 100 billion to 200 billion possibly in terms of the advertising size or it can even reach the trillion range. So this market has quite a bit of potential. That is why SKT has a cost plan to introduce the search-related services furthermore, so that we could provide the future growth platform.
Unidentified Analyst: Perhaps if I could follow-up, I know that there are two sides of arguments where one side would argue that company like NHN which is dominating the search market right now with XYZ advantages in the mobile environment and then, on the other side it's actually the mobile companies that own the platform and their subscribers, so if you can give us some color, I would appreciate it. Thank you.
Unidentified Company Representative: I believe that two markets could coexist in the market and NHN as you have pointed out is a leading player in the search market when it comes to the fixed-line portal services. However in terms of the mobile search business I believe that it is quite different from the fixed-line related portal services in many different ways. And SKT as you are well aware is a leading mobile by telephony leader with the platform and we also have the affiliated company SKCom which has the capabilities from the Inpus and Cannon technologies, which provide the search-related services Therefore together, I believe, I anticipate a great growth potential and I believe that the company could grow in a large scale in this particular market.
Operator: next question is going to come from Mr. Taik Yang Seung from Seoul Securities [ph]. Would you like to go ahead with your question sir?
Unidentified Analyst: I have a following two set of questions. My first set of questions includes the following; up to Q3 this year, the number of newly added subscribers has grown quite significantly. So can we anticipate the same trend going forward into Q4 and into next year as well? And also follow up question to that question is that during Q3, the per subscriber acquisition cost has gone quite a bit. Would that be maintained individual as well, and recently during Q3, the retention part of the expense has gone up quite a bit as well, so is that is going to be something recurring? The second set of the question have to do with using Mach-related [ph] regulation change going forward as well as the mandatory contracts of previous system which could be possibly introduced. So can you share with us the progress with which the regulation is being finalized on these issues? And regarding using Mach, soon we are expecting the subsidies ban elimination altogether, so do you see the block regulation assuming in the future regardless of the mandatory contract system being introduced or not, how would that impact the company?
Unidentified Company Representative: Regarding your question about the marketing expense, actually with the recent acquisition cost and newly subscriber related cost has gone up recently and it had a lot to do with a number of subscriber increase for the WCDMA services and I believe that depending on the trend going forward for the WCDMA subscriber number increase or decrease, I believe that that would impact the expense of prospects going forward. And you asked about the 4Q, fourth quarter prospects, and I believe that you in terms of the WCDMA subscriber increase trend over the necessary acquisition costs, I don't think that it could go down too significantly. It's a little too soon to talk about the first half of next year, however because it's really depends about the competitive landscape and what other telecoms could pursue and also how well the subscribers in the market may see the WCDMA effective value, obviously if the new subscriber numbers increases on the WCDMA size naturally that would bring up the cost as well. So it's too early to tell about the next first half but again for the fourth quarter this year we don't expect too much of a reduction Regarding your question about using block elimination, regarding the same carrier using block deregulation, regarding these, the timing of the introduction of such change, there are on going discussions with the telco grow as the government so it is exactly as was important to the media, so nothing definite has been determined yet, now when it comes to inter carrier, in other words between two carriers using block-related regulation, there are a lot of existing technological issues such as inter operability or inter comparability or services capability as well, so we are at a very infant stage of such discussions right now and if you read some of the papers that have been issued out of Japan there have been a lot of issues and challenges and problems associated with internally-carrier using block-related deregulation going forward, and so looking at that I think that those issues have to be ironed out fully in order to ensure that the customers will be protected. So nothing has been determined yet and we believe that we still need to expect a long time before they can be replaced
Unidentified Analyst: I have a follow-up question regarding the first end of the question, you have stated that the marketing expense related trend going forward dependant quite a bit on the subscriber growth number trend, and however at the same time you have been talking about how you would control the migration speed to WCDMA, so but and then looking at these different factors I could assume that compared to the existing CDMA network, the WCDMA per subscriber acquisition cost as high therefore they are true seemingly would be lower than 2G. So could you share with us regarding the details about the ARPU on the newly acquired WCDMA subscriber, is it as good as you have anticipated when it comes to our ARPU or is it much lower than the 2G subscriber?
Unidentified Company Representative: When it comes to new acquisitions as well as the handset upgrades subscribers who are WCDMA, the ratio is much more leaning towards the new acquisition side. And compared to 2G subscribers, although we do not have a sufficient number of population in terms of the subscriber number to give any meaningful statistical results, but now looking at the current data for only the ARPU or 3G or WCDMA subscribers is actually 15% or so higher than that of existing CDMA subscribers. So in terms of the amount it's as much as 4000 to 5000 higher. So it all depends on how well the WCDMA subscriber offset and uses the services offered by our company, that is precisely why we plan to venture the Internet and also the conversions linked services going forward, so that we can maximize the ARPU and we will continue to make these efforts going forward
Operator: Next we'd like to hear from Mr. Yang Suc Che from Midas Asset Securities [ph]. Would you like to go ahead with your question sir?
Unidentified Analyst: First questionregarding DTV 365 service which was recently launched. So I would like to know what specific times regarding this service offers for instance the content for the subscriber numbers and your times for the network and marketing and also contact content sourcing. When it comes to fixed line policy and strategy, I believe that the market environment in general has changed quite a bit recently. For instance SK Group is now completely a holding company structure and also, I believe that the market is viewing your fixed line strategy quite positively for now, and now that DTV 365 service has been launched recently, there can be concerns that it can utilize own network per se you might encounter some issues. So there might be a need to supplement it with a network of your own. So what kind of changes would be required in the market for you to take on a more aggressive fixed line policy going forward?
Unidentified Company Representative: [Foreign Language]. The effective mobile service is called TV Portal 365 degree Celsius is the name, and we are... we have decided to take part in this particular project in order to deal with the upcoming conversions and also the broadcast telecommunication conversion environment that we are seeing. So as you know, many different players are a part of this consortium where we are operating an open digital portal services. And for now, we are offering pilot services for newly built apartment complexes and starting from November of this year, we plan to commercialize this service as well. So the different roles and responsibilities will be as far as for instance, the consumer electronics companies which would be responsible for creating and contributing the handsets etcetera and the content would be up to the portal company and the billing and the certification and also the service development are being taken care by SK Telecom. And the business model is one that there is no basic charge or accreditation or the first initial joining charges for the services but basically the page content usage fees would be used for the future infusion of the fund and in the future, we plan to actively leverage the advertisement related expense as well. So we are in a very infant stage for now. [Foreign Language] Let me share with you our fixed line related policies. I believe that we've touched upon these matters on other occasions as well, but for now, we do not have a high level of confidence as we definitely need this side of the business to fulfill our strategy going forward. And as a matter of fact, the probability of us requiring that fixed line strategy is actually coming down quite rapidly because if you look at the current environment, SIM to cell and FMC, all these different types of technologies currently being used are breaking down the barriers between different types of technology. So you could assume that we're actually more convinced to believe otherwise. Also regarding this digital home services, you do not require a fixed IP network to enjoy the services either and so I believe in terms of the bundled services that are operated by our company, our existing alliances for now will suffice including the alliance with MS. [Foreign Language] Can I summarize it this way, this digit DTV 365 degrees, now this service is not being pursued as a test set for a fixed line strategy going forward. But that I view approaching this service to prove that we do not require a fixed line network. [Foreign Language] I don't think that you should extrapolate it to that extent for now. I point for now because of the emerging technologies regarding portal within home network. You could proceed this flexible service as one of those type of options available. [Foreign Language]
Operator: [Foreign Language]. Our final questioner is going to be Mr. Jong-su Kim [ph] NH Investment and Securities. Would you like to go ahead with your question sir?
Unidentified Analyst: [Foreign Language]. I believe that you've addressed these questions earlier but I don't like to ask for a more detailed response. For now you said that you have no immediate plans to expand the market share target and looking at the competitive landscape and considering how the market share is bound to change in the new future because of the on-net discounts that are provided by different players, I'm wondering since you cannot exactly increase the market share, then how would you offset the earnings upside, in other words, are you going to be bringing up the ARPU or reducing the marketing expense, which side would you be choosing? And the second question has to do with the UC mark related issue, how would that impact the marketing activities going forward. Would that increase the marketing expenses or bring it down, because with the introduction of the mandatory contract system in the market, it is bound to have an impact on the cost. So could you share with us your perspective?
Unidentified Company Representative: [Foreign Language]. To answer your question about the market share issue and the ARPU, I believe that the on-net discount programs being offered will have a positive impact on the retention of our subscribers. And that means retention generating possible ARPU increase going forward as well. And as you know SKT currently has more number of higher quality and highly profitable subscribers than other telcos in the industry, so we plan to increase the MOU, therefore thereby increasing ARPU. [Foreign Language] I believe that the translation did not go out to the microphones so let me repeat the answer. First of all, regarding market share and the ARPU. The on-net discount will definitely be focused on the retention of the subscribers and the retention will ultimately lead to ARPU increase as well. As you know, SKT currently hold more number of high quality subscribers compared to other telcos therefore, we plan to increase the MOU and therefore leading to higher ARPU in the long run. But in the short term, we believe that this will bring down the retention cost. [Foreign Language] To translate your question about UC mark [ph], it's a little too early to tell the final results. And if we get the mandatory contract system alone I believe that although you will bring up the cost in the short term, ultimately in the long run you will stabilize the price trends or the... that is the cost trend on a downward trend. And as you have seen in the MMT case, going through such changes, the market naturally converges back to the market proven structure ultimately. And regarding UC mark issue, of course we are internally looking at various scenario plans and reviewing those, but it is a little too early for us to comment on this. [Foreign Language]
Unidentified Company Representative: I am sure you have more number of questions, but because of time constraints we would conclude the training session. And lastly, I would like to invite the closing remarks from our CFO, Mr. Ha Sung Min. [Foreign Language]
Sung Min Ha - Senior Vice President and Chief Financial Officer: I would like to extend my appreciation to all of you for taking part in today's conference call. All of your meaningful questions and interest will contribute greatly to the management activities going forward. [Foreign Language] Once again I ask for your support and cooperation going forward. Thank you very much.
Operator: Thank you. This concludes the third quarter 2007 CFO conference call. Thank you.